Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:03 Ladies and gentlemen, welcome to the JCDecaux 2021 Full Year Results Presentation. 00:09 I will now hand over the call to Jean-Francois Decaux, Chairman of the Executive Board and Co-CEO. Sir, please go ahead.
Jean-Francois Decaux: 00:19 Good afternoon, everyone. Good morning for those of you in the U.S. and welcome to our 2021 full-year results conference call, which is also being webcast. The speakers on this call will be Jean-Charles Decaux, Co-CEO; David Bourg, Chief Financial, IT and Administrative Officer and myself. Remi Grisard, Head of Investor Relations is also attending today's conference call. 00:45 On Slide number 3, and although, mobility restrictions linked to COVID-19 continued to weighed on our activity this year. 2021 has been a year of rebound for our Group. As you can see on the summary of our financial results, all key financial indicators improved significantly compared to 2020. Revenues grew by 18.7%, 18.5% organically year-on-year, and importantly improved quarter-on-quarter during the year. We have achieved a strong operating leverage, thanks to the tight management of costs and the business mix geared toward Street Furniture. 01:26 Our operating margin reached EUR422 million, our EBIT has turned positive for the year, and our net income improved greatly, although it remains slightly negative. Our improving operational performance combined with our cautious management of CapEx and working capital have enabled us to generate once again a positive free cash flow and to reduce our total debt. David will give you more details later in this presentation of our financials. 01:57 On the next slide, number 4, you can see that our activities have recorded promising performances in 2021. From Q2 2021, we have seen an improvement of the sanitary situation with the progressive rollout of the vaccine. As a reminder, mobility restrictions measures in March 2021 were stronger compared to the previous year. Once they have eased, especially in Europe, our activities has performed much better. Throughout 2021, we have seen sequentially getting closer led to 2019 levels as the situation normalized across the globe. 02:39 Our performance above our expectation in Q4 close to 40 – 35% organic growth -- revenue growth showed that the situation improved even month by month in the fourth quarter, despite the outbreak of the Omicron variant. This clearly demonstrates the rebound capacity and the growth potential of JCDecaux, despite the low international travel and national -- local restrictions, such as semi-lockdown in some European and Asia-Pacific countries. 03:13 As you can see on Slide number 5, all activities and all geographies have recorded the high growth rates in Q4. This has been driven partly by a very high growth of digital revenues, plus 33.8% year-on-year. Street Furniture also been one of the strong growth driver. We are now at the 2019 levels for Street Furniture overall at plus 0.4% and well above Q4 2019 for Street Furniture in Europe at plus 7%. Other activities have also grown strongly and are getting closer to pre-COVID levels. Transport activities continue to improve with strong improvement for public transportation and domestic transport activities in China above 2019 levels, all regions grew strongly in Q4 2021. 04:08 On Slide six, and looking at our adjusted revenue by segment, on slide. We can call the roadside activities, what we call roadside activities, Street Furniture and Billboard, a clearly outperformed transport in 2021. Street Furniture are plus 26% year-on-year has been the main driver of revenue growth in 2021 in line with the pickup in urban audiences. Transport has suffered from limited air traffic, but also from locally depressed [indiscernible] mass transit audiences. Billboard, although, smaller for our company, as you know, is well oriented as car traffic has sometimes been prefer to public transportation during this pandemic. 04:51 On Slide 7, our growth by region for 2021 is balanced as you can see which is encouraging, even the regions that most exposed to the transport activity have grown double-digit this year. Rest of the world grew faster but from a low basis in 2020. Asia-Pacific is slightly behind the group average due to its high share of transport activity, but also to mobility restrictions that have been important in this region in 2021, in China, for international our traffic and also with some regional lockdowns as well in Australia, which was the country in the world with the most days of lockdowns this year. 05:30 On Slide number 8 and due to its faster growth, Street Furniture makes up now, more than 50% of our revenues while transport from a typical 40% level has been reduced to 32%. As a reminder, air traffic generated approximately 20% of the 40% revenue from transport in 2019 and only 10%, where coming from international air traffic much less now, as this is the area that remains strongly hit by COVID restrictions. 06:00 Before the COVID-19 approximately 50% of revenues from Europe now it’s 58.6% due the rebound of Street Furniture. Rest of Europe is now a top region at 30% of revenues. Asia Pacific remains the second region at 25.4%. France is the first country as revenue contribution for the second year in a row. 06:19 On Slide number 9, looking at our clients. As you know, we are a key partner for the major advertisers around the world. We work in 2021 with 94 the top 100 brands in the world. Our client portfolio has diversified with the top ten clients representing approximately 13% of our revenue. As you see, all sectors are growing. Our biggest categories now fashion, personal care and luxury goods with 15% of total revenue ahead of retail, which was first a year ago, now at 14.6%. 06:51 Internet is the fastest growing sector as the spend of internet companies has increased by 64.4% representing now at 7.3% of total revenue. This leading data driven companies acknowledged the efficiency of our media, entertainment and movie including streaming platforms is also growing fast. 07:09 On Slide number 10 now, digital out of home grew by 33.2% in 2021 to reach a record 26.9% of Group revenues for 2021, as we continue to accelerate our digital transformation and maintain our focus on the rollout of digital screen. And on the development of our automated data driven planning and trading solutions. The CAGR of digital revenues remained high even during the COVID period. We've reached our record year in 2021 for digital revenue contribution, despite lower sales from airports, which were usually very digitally driven. This shows you our room for growth. Transport, which was 62% of digital revenue is now 34%, in line with its share of total revenue, as other segments have picked up quickly. We will continue to digitize actively the most premium locations. 08:02 On Slide 11, regarding Digital Street Furniture and despite COVID-19, the share of digital has continued to increase along with our digital inventory rollout especially in Europe. 08:13 On Slide number 12, as far as Digital Transport is concerned, the digital contribution decreased slightly during the pandemic due to long-term contracts on non-digital assets such as jet bridges. We continue to deploy our impactful digital solutions with our partners such as this premium display in Dubai, new contracts and transport for airports as well as for ground transportation, including subway, contain a high shelf digital revenue. This is the case of our recently won Sydney Train contract, which will be almost fully digital. 08:46 On Slide 13, Digital Billboard continues to grow strongly as you can see. Digital is the key growth for Billboard both in terms of top line as well as bottom line. This strategy has been very successful in the UK, for example. 9:01 On Slide 14, five countries generate 50 -- 69% of digital revenue in H1 2021. Meaning that there is a significant upside for digital expansion. And about two-third of digital revenues is coming from five countries only which are UK, U.S., Australia, Germany and China. UK and U.S. are highly penetrated with 72% and 58% respectively. Germany and China being at 32% and 20% only. The strong despite in digital penetration shows you as well that we have a lot of room for growth. 09:36 On Slide 15, the activity in terms of tenders remained lower than usual due to the COVID-19 situation. We have nevertheless recorded important wins of contract in 2021. In Belgium, two important Street Furniture contracts, one from our main competitor Brussels and Antwerp. We now have a strong leading position in this country. In Australia, we've seen the trends when the largest out of home media contract in this country. We won the Shanghai subway contract of five newly constructed line and strengthening our footprint in the largest metro system in the world. 10:10 All these tenders, we would like to stress that we remain strongly committed to ESG goals and that ESG criteria are not yet considered enough in the tenders from cities and from other partners. Only France and Belgium incorporate ESG award criteria, which is not enough in our view for a significant positive contribution of our industry to climate change. 10:32 On Slide 16 regarding ESG. ESG has been at the heart of our DNA ever since the invention of our business model in 1964. Responsible innovations, responsible communication, financing renovation and soft mobility are the forefront of JCDecaux’s activities. JCDecaux has been a pioneer in public transport since 2003 with its self-service bike system present in 10 countries and 73 cities. Self-mobility is one of JCDecaux’s taxonomy eligible activities along with the bus shelter contracts and associated infrastructures. JCDecaux is a real partner of the transitions since 39% of turnover is eligible to the Taxonomy, 56% if we consider are public transport activity, which is clearly participating in low carbon transitions. 11:23 On the next Slide 17, placing sustainability at the heart of JCDecaux business model has helped the group to achieve the majority of its environmental objectives. In 2021, 98% of our electricity consumption is covered by green electricity. We are pursuing an ambitious policy of purchasing electricity from renewable sources in order to achieve 100% coverage of electricity consumption by 2022. The fuel consumption of our vehicles per 100 kilometer is reduced by 14% between 2012 and 2021. Consumption of 2 square meter Street Furniture reduced by 70%, thanks to led technology and smart lighting. Our waste recycling rate has remained stable since 2020 at 80% and our yearly objective has been exceeded for the third consecutive year. This result demonstrate that practices have been firmly established in all subsidiaries. Last but not least, greenhouse gas emissions, thanks to the group actions on environmental issues. Total greenhouse gas emissions decreased by 83% in 2021 versus 2014 for Scopes 1 and 2. 12:34 On Slide 18, regarding our social and societal performance. We have over 10,000 employees worldwide and having relationship with the diverse ecosystem with local authorities, suppliers, in particular subcontractors. JCDecaux considers its social and societal commitment as another key factor to its success. Our social and societal impact was also quite strong this year. I'm not going to read all of our key achievements on this slide. Just maybe to highlight our important decision to increase ESG criteria on the valuable compensation of all executives from 10% in 2021 to 15% in 2022 showing our clear commitment to ESG, which is crucial for us. 13:21 Finally, on Slide 19, I would like to thank our talented teams. Our key factors for success Our teams have always remain and committed and passionate about our media even through the difficult times we have faced COVID-19. They remained the most talented teams in our industry and their recognized as such, for example they've been recognized as the best advertising sales house from both agencies and advertisers in France in the recent survey of advertising professionals. We have selected here a few recent award for 2021 from all over the world. 13:58 And finally, before handing over to David and I would like to say a few words on Ukraine. And speaking about Ukraine, I would like, say that our group fully supports the Ukraine people in the current dramatic war against their country and it's terrible even in Italian consequences. The Executive Board has quickly taken financial and other measures on behalf of our group in favor Ukrainian population. To communicate clearly on our exposure to this dramatic situation, we have a 50% local joint venture in Ukraine with approximately 85 staff members, revenues from Ukraine remained limited as they made up only 0.1% of our total revenues in Q4 of 2021. We have no export to Russia since the sale of our 25% stake in Russ Outdoor in July 2020. 14:52 I will now hand over to David for the financial highlights.
David Bourg: 14:59 Thank you, Jean-Francois. Hello, everyone. I would like to come back first on the summary of our financial results in Page 22. All our operational and financial indicator of our green with a significant increase year on year reflecting well our rebound. Our revenue is 2.7 billion still below from COVID level, but an increase of EUR433 million in absolute terms with a strong contribution to all our operational P&L and cash indicator. 15:36 Our operating margin got EUR281 million from this revenue increase to reach EUR422.3 million. Our EBIT before impairment is back in positive territory at EUR16.3 million, increasing by EUR369.2 million. And our funds from operation, also back in positive territory at EUR237.6 million improving by EUR293.8 million. The strong revenue conversion mainly coming from the revenue recovery in H2 at plus 32.1% since the revenue was virtually flat in H1 and our KPIs nearly is exits the operating margin, which was slightly positive utility at EUR31 million. 16:32 After working capital requirements and CapEx, our free cash flow not only remains positive, but also improved by EUR49.6 million to EUR211.5 million despite the storm, we have been facing over the last two years. Our net result improved significantly accordingly, but still slightly negative at this level of activity at EUR8.7 million before impairment minus EUR14.5 million after impairment. However, important to highlight that our net result was positive at EUR155 million in H2 after a net loss in the first half of the year. A promising performance especially, given the environment which remain constant by COVID-19 restriction in H2. 17:34 Finally, it is to be noted that the impact on our revenue and operating margin from FX and change of scope is not material. Regarding change of scopes, a negative impacts from the sale of our minority stake of Russia and the change in consolidation method for our JV with Beijing Metro is a globally compensated by the integration of average service in France. 18:06 Having a look now at the evolution of the operating margin in page 23 from EUR141.6 million in 2020 to EUR422.3 million in 2021, an increase representing 65% of the revenue growth and so reflecting the strong operating leverage of our business model. The increase in gross margin has benefited from favorable mix business toward more outside revenue and reduced rental based under control. Increase in rents and fees was limited to 5.1%, while the revenue growth was 18.7%. We are obviously maintained constant discussion with our landlords and partner and obtained rent release across all segments as our business has continued to be affected by the COVID situation, especially in the first half of the year. 19:18 Operating expenses were up 7.6% year-on-year, mainly due to the decrease in H2 as [indiscernible] saving especially state aids in Europe. However, compared to 2019 operating expenses remains down by 16.6% meaning more than minus EUR200 million compared to our 2019 cost base. 19:52 Moving at EBIT now on Page 24. Our EBIT is back to positive territory as the level of operating margin at EUR422 million is now enough to absorb the amortization and provisions as well as maintenance spare parts. EBIT before impairment charges is approximately positive at EUR15.3 point million significant increase of EUR369 million mainly coming from the improvement of the operating margin and some exceptional items recorded in 2020, but not repeated in 2021. 20:33 Looking at the lines between operating margin and EBIT, amortization and provision, we are quite stable at EUR362 million, a slight increase of EUR5.7 million resulting from the end or extensions of some concession contract as well as some non-recurring resources. Maintenance spare parts of EUR38.4 million in 2021 decreased by EUR8.7 million due to EUR12.9 million stock depreciation recorded in 2020 adjusted from this impact, the consumption of spare parts increased in 2021 by EUR4.6 million in relation with the end of the restrictions and the recovery of our activity. 21:27 As outlined, other operating income and expenses represent a net charge of EUR5.7 million, a decrease of EUR74.1 million mainly due to non-recurring expenses in 2020 such as a net loss on the sale of our minority stake in Russia in July 2020 for $39 million, major part of it was accumulated FX foreign exchange losses on Uber. And also, some restructuring costs for about EUR24 million recorded in 2020 to adjust our cost base to the level of activity. 22:19 The impairment charge of this year is limited to EUR7.6 million versus EUR222 million in 2020 due to the consequences of the COVID situation. Therefore, EBIT before impairment was positive as well at 8.7 million, an increase of EUR583.9million versus 2020. 22:47 Let's have a look now at the valuation of our margin ratios before impairment by business segment on Page 25. As the overall operating margin represents 16.4% of the revenue, an enhancement of 930 basis points reflecting as a strong operating leverage that I have already commented. All the business segments are improving, transport more moderately, obviously, as the revenue grows was lower. The EBIT margin improved more significantly as they benefited from the decrease in restructuring cost in 2021. 23:39 And for the Billboard business segment from the net loss on the sale of our stake in Russia and for the Street Furniture business segment from the EUR12.9 million depreciation on stock recorded in 2020. The full year margin ratios remain below the pre-COVID level. But if look at the second half of the year and it is not on this slide, but it is interesting to note that the overall margin ratio was almost in line with H2 2019 at 23.5%, but above for both Street Furniture and Billboard at respectively 31.2% and 20% versus 30.8% and 17.5% in H2 2019. 24:41 Let's turn now to our net income in Page 26. To do this, we need to eliminate a positive contribution from our joint venture of EUR39.5 million. The corresponding share of net profit being recorded in the line equity affiliates below IFRS EBIT. And to restate as the IFRS-16 lease payments from our core business for almost 100 million major part of it corresponding to the discount charge being well positioned in the financial result below EBIT IFRS. 25:27 After this statements, the EBIT IFRS at EUR68.6 million slightly more positive than the adjusted EBIT, but still not enough to absorb our financial result that minus EUR125 million, despite a significant increase in positive contribution at EUR48.9 million from our equity affiliates, including our joint venture. The net result of group share remains therefore negative but not far from the breakeven at minus EUR14.5 million minus 8.7 before impairment. 26:07 Few comments on the lines between EBIT IFRS and the net result Group share. As mentioned, including in the financial results, we have discounting charges on the IFRS-16 lease liability for EUR82.2 million, a decrease of EUR39.9 million year-on-year mainly due to the mechanical reduction on IFRS-16 lease liability on existing contracts. The next financial expenses excluding IFRS-16 is a charge of EUR42.8 million, a slight increased by EUR2.2 million mainly due to the interest on the additional financing secured in 2020, partly compensated by some positive FX variations. 27:03 So tax is an income of EUR13.6 million, representing an effective tax rate at around 24% lower level than typical Germany due to non-recognized deferred tax asset on pretax losses in some geographies for the sake of prudence. Though sharing net result from equity affiliates is back to positive territory at EUR48.9 million against the negative contribution of EUR1.3 million dollars in 2020, as already mentioned, a significant increase of almost EUR30 million reflecting the strong improvement of the operational performance of our affiliates [indiscernible] and a significant influence as well. 28:00 Last, the impact from the adjustment of the adjustment of minority interest to get the net result share negative contribution at 20.2 million in 2021 against a positive one at EUR10.1 million in 2020 reflecting the improved performance as well from our subsidiaries with minority partners. 28:28 Moving now to the cash flow statement, Page 27, with a positive free cash flow again in 2021 at EUR211.5 million and even improving compared to 2020 by almost EUR50 million. The positive variation from the funds from operation and CapEx reduction was partially offset by the negative impact from the variation in the change in working capital requirements. 28:59 The fund from operation turned positive from minus EUR56 million in 2020 to EUR237.6 million in 2021, a significant increase of EUR294 million mainly coming from the improvement from the operating margin by EUR280 million, as a decrease of tax and restructuring costs paid over the period by EUR24 million and EUR23.8 million respectively, partly mitigated by the increase of EUR20.6 million in the interest that paid on the financial debt secured in 2020 and the increase in the IFRS-16 non-core business lease and the maintenance spare parts from EUR9.5 million and EUR4.6 million respectively in line with the progressive recovery of our activities. 30:03 Changing our working capital at non-IFRS positive impact of EUR131.4 million on our cash generation in 2021 despite the significant rebound of our revenue in H2 2021, especially in Q4 and this is mainly due to a tight management of our cash correction and payments, but less positive than in 2020, which benefited from the correction in Q4 -- Q1 2020 of the record revenue from Q4 2019, as well as the decrease of the revenue in 2020. Hence the negative year-on-year revolution of the working capital valuation for minus EUR271.6 million that you can see on the table. 31:03 Regarding net CapEx, overall, we reduced then by 15% versus 2020 at EUR157.5 million, minus 58% versus 2019 giving an historical low CapEx to sales at 5.7%. The selective reduction nonetheless, as you can see in this slide, since we have pursued our growth CapEx, which represent now 65% of our total CapEx and continue the tune our contractual commitment with an increase of our renewal CapEx by more than 30%. 31:49 Turning to Page 29, our net financial debt is at EUR924 million at the end of 2021, a decrease by EUR161.8 million compared to December 2020 due to our positive free cash flow of EUR211 million partly compensated by the financial investments limited to 2022 to -- EUR 22 million over the period. The net financial debt of EUR0.9 billion is composed of EUR2.5 billion of gross debt and EUR1.6 billion of cash and cash equivalents. 32:29 On the next slide, the main characteristics of our debt at the end of 2021. On the left-hand side, you can see the profile of our depth. As the maturity dates are spread out over time with an average maturity of three year plus at the end of December. The average cost of this funding is very reasonable at around 1.5% with 90% of the debt at fixed rate. We have also raised strong liquidity with EUR1.3 billion cash plus EUR825 million committed revolving facility, which is fully undrawn. 33:18 Two comments on this revolving facility. It enjoys long duration. It matures mid-2026. And there is no financial covenant applicable in 2022 and no covenant from 2023 onwards provided that we remain investment grade. Regarding our credit rating, we have been confirmed investment grade by Moody's and S&P in 2021 with a stable and negative outlook respectively and obviously, we are mentioning a frequent dialogue with the two agencies. 33:57 Finally, given the context, we decided and think it was the right decision in January to take advantage of the good market condition to extend our debt maturity schedule and secure our financing profile. So, we issued EUR500 million bond with the maturity in 2030 at a coupon at 1.6%. This issuance was very well received, I mean, it was a 3 time over subscribed. And with that, we now have average debt maturity at circa four years. 34:38 In conclusion, Page 31, we can see that our 2021 financial results demonstrate once again the resilience of our business model and financial structure and with strong rebound capacity of our revenue and the restrictions are lifted as observed in H2 and especially in Q1, we were very strong growth in our digital revenue. Strong conversion rate of the revenue was with a positive operating margin growing significantly, maybe back in positive territory and a free cash flow not only positive, but also improving compared to 2019 despite our revenue levels still below pre-COVID. 35:29 And last, but not decrease in net financial debt with liquidity not only preserve but reinforce why we have continued to invest in our premium assets and digital transformation. We remain therefore well positioned to continue to benefit from the recovery, but meanwhile, given the persistent uncertainties we remain more than ever fully committed on cost control and cash collection. 36:00 On that note, I will leave the floor now to Jean-Charles for the outlook and strategy.
Jean-Charles Decaux: 36:06 Thank you, David for this financial presentation. As you can see on Slide 33, the structural growth potential of OOH remains unchanged, despite the travel period linked to obviously COIVD-19. I think in this slide, you will find forecast from leading media agencies. And as you can see, OOH is the only structurally growing traditional media. The second million in terms of growth only after online and we think that this trend will continue and even accelerate further. 36:39 Close to 3% yearly growth rate, it forecasts worldwide over the period from -- up to the 2025 for OOH, including the COVID shortfall. After COVID, once OOH is back to 2019 levels, in 2023 or 2024 a growth rate of close to 4% per year is forecasted. Close to our pre-COVID average growth rate of 4%. 37:06 In the next slide, if we take a step and look at the fundamental growth driver for OOH, they remain as powerful as in 2019. The urbanization is still a major trend in global phenomenon, especially in developing economies where we have a strong footprint. The quality of our media is more and more acknowledged by advertisers and has improved in two ways. 37:30 And let me say that first, I would say passively as all the media are either losing audiences, decrease of audiences of TV, radios, return price or suffering from a decreasing advertising quality and of cookies [indiscernible] various comments for online advertising. This creates also -- certainly this creates scarcity for high reach, high quality advertising spaces and should in the end drive prices up for OOH globally. Second, obviously, actively as well improved the quality of our media audience measurement, trading, targeting, experiences up all significantly changed in the past year. 38:21 Digitalization is a key drivers assured by our impressive plus 33% growth of digital revenue this year. Industry forecast gives the double-digit growth until 2027. Based on digital screens, data for targeting and audience measurement and problematic for efficient trading in line with the best practices of online advertising, we strongly believe that we should grow faster than that increasing the market share our media should grow. 38:52 The mobility trend are not the key question mark in mind. The recovery is not yet total, but we think that once mobility restriction will be lifted, all indicators will recover. We already see that people are spending more time out-of-home. We see a clear increase in the average spend to passengers at airports and the strong willingness to travel. If business travel remains down, leisure travel should offset this and we will continue to catch and we recall the influencers a very valuable advertising target at the airports. According to a study by Oxford tourism economies, leisure recovery with more than offset the international lag by 2023. 39:45 If we move onto the Slide 35 of our presentation, you can see that OOH always through digital and data can now combine the best of both advertising world. Branding, as we have been developing since the creation of our firm, and more and more targeting driving customers to stores and web with direct and measurable impact purchases. Through that our technology always can now work efficiently on all stages of the market and [indiscernible]. OOH once more creates trust, but also sales that can now indirectly trend back to the campaigns through data usage. As online enterprising campaigns move away from ultra-personalization, they will more easily be combined with OOH in multi-channel marketing approaches. 40:44 Moving into the programmatic as an opportunity, the total OOH revenue pool at around $40 billion remains relatively small. Whereas as programmatic online advertising only, it was close to 150 billion growing 15% per year. It is clear a programmatic trading has many benefits for advertisers, as it is more quickly traded with lower cost and can be automatically adjusted depending on triggers and efficiency metrics. With programmatic, we can target the long tail of advertisers, which were not active in OOH traditionally. This broadened clients universe and will increased demand and generate higher prices for digital inventory. It is clear that programmatic advertising is gaining momentum. 41:47 It's a good news and we should basically accelerate, as you can see on this slide, the VIOOH platform is already now active in 16 countries. It is the most connected supply side platforms in OOH with more than 36 DSPs and 150 colleagues -- staff colleagues in London. The activity is growing very quickly, with close to EUR30 million in revenues in 2021 5 times more than 2020 despite the crisis, and several hundred on successful program campaigns for both major brands and smaller advertisers. The platform is efficient, transparent, opened to other media owners, as you know, such as [indiscernible] in the U.S. and more to come. We expect to keep a very high double-digit growth rate in the coming years for programmatic given what we just experienced this year. 42:57 Our digital strategy is now fueling obviously, our sales policy and the VIOOH programmatic and is mainly based on three pillars, which are the following. One, obviously, the hardware, the digital screen; two, programmatic to optimize the trading’s for a real time bidding platform, but also data which is a key aspect to increase the accuracy of measurements as well as the efficiency of campaigns that are more and more data driven. We just launched the JCDecaux Data solution, a unified data driven offer for all our stakeholders launched in September, where JCDecaux Data solutions combines now our corporate and local data solution to offer best-in-class answers to today's marketers challenges. 43:54 With applicable capacities on planning, activation and measurements JCDecaux Data solutions unifies our data proposal across 16 markets around the world. Composed of platform, OOH planner, OOH measurement, for example, of solution, creative eat map, airport and metro, street OOH’s measurement. It is clear that for all our stakeholders data now is a key component. Data solution developed by our data team, Data Corp offer capacities to all our stakeholders, leveraging multiple types of data, we believe that -- we believe in data as a service approach, data accessible on demand in the privacy safe way to any stakeholders fulfilling obviously the LGPD protocol. 44:55 Data Crop is a team organized around 5 complementary pillars to sell and help our growth. The mix of tech and non-tech profile to drive data at scale and globally. Platformization is obviously a consequence and is a core of our data strategy to converge faster on the used cases and to democratize data usage and being capacity obviously to serve any type of stakeholders. 45:31 Moving now in our traditional slide of the main tenders, mainly organic tenders obviously. Cities continues to be a key driver in differentiator for JCDecaux equity story. The main tenders which we are expected at the moment have a digital component in most of them. The activity in terms of tenders remained lower than usually due to COVID-19 situation. The tender activity is clearly picking up now as the visibility is higher and the economic conditions are improving significantly. 46:13 Please note that the Paris automatic public toilets is the only current tender including major ESG award criteria. Our existing franchise on Shanghai Metro for the existing 13 lines in the Spanish railway stations are among the important tender alive at the moment. 46:35 Moving into the next traditional side about the market, and basically, our leadership globally. We see that our competitive landscape in Slide 47 shows clearly that we remain clearly thereabout revenues in the fragmented markets [Technical Difficulty] since the top 15 world advertising players represents less than 45% of the advertising market. We are actually the only truly global company in this field with leadership position in every continent [Technical Difficulty] both in quality and quantity. Beyond OOH, we are the second largest European media owner and among the top fifteen media orders worldwide. 47:42 The situation we’ve been facing over the last two years will certainly create some bolt-on acquisition opportunities as it was the case in 2020 in the middle of the pandemic with the acquisition of Clear Media in China and Abri service respectively in France. By the way, our service is now fully integrated to our operation in France and we owed 20.5% of Clear Media, which as you know was deleted in October in the last October in 2021 in line with our initial plan. 48:21 As we have said always, we want to be very programmatic in terms of acquisition, and we will continue to monitor the competitive situation citing opportunities, either global original, when they come, but bear in mind, and it is very important for the future questions on this call today, that there is no, must-do deal for us and we will still have a lot of organic growth opportunities ahead as shown on the previous slide, and with more things coming into the buy in certainly 2022 as the economy is obviously getting to a new face now. 49:08 On Slide 41, you will see that what we think are JCDecaux, we always trying to think forward positively, and we strongly believe that there will be no transition without communication. Ecological transition and communication are not opposed. On the contrary, they are partners and as a leader in the outdoor advertising world, we are convinced that it is necessary to promote responsible communication to accelerate the ecological transition obviously, advertising is clearly a driving force for that transformation about society, but on the condition that it should transform itself as well, in order to help the emergence of low carbon and service reach usage economy, the consumption that goes beyond that of buying on selling as you can -- as we witness today. Because economy and ecology, must go end to end advertising communication [indiscernible] the ecological transition. 50:16 By 2021, the group as it was said has achieved the majority of the target set for the different priorities in its 2014 strategy. In line with our group funding values, obviously, patience, quality, innovation, responsibility, we have decided to reinforce our ESG roadmap and we are proud to launch our 2030 strategy. This new strategy, which includes most of our theorical commitments and our environmental social and societal priorities will have strong ambitions on carbon waste, feminization, health and safety, as well as priority directly linked to our business model, our products and services. 51:08 Our ESG roadmap is now organized around three main ambitions with concrete, qualitative and quantitative objectives. The first one is towards more sustainable leading spaces, dedicated to responsible business, this ambition is not new to JCDecaux, as you know, but we have always worked in a responsible way. However, we wanted to include it to make it clear to all our stakeholders that is one of our priorities. And concretely to develop furniture and services that work for everyone on a daily basis, and we will systemize and strengthen our eco design policy as of 2023. 52:01 The second objective and ambition is towards an optimized environmental footprint. With a higher level of ambition on the carbon issues in order to continue to reduce the environmental impact of our activities. We want to actively contribute to the planet carbon neutrality, focus on value chain emission reductions, and develop a quality net zero carbon policy in 2022. And we are concerned by all our impacts including waste water and zero diversity. One of the objective is a zero waste landfilling versus total waste in countries with suitable facilities by 2035. 52:43 The third ambition is towards a responsible business environment as we cannot operate without a strong base in order to continue to be a responsible employer as well as responsible business partner for all our stakeholders. Be a responsible employer is about gender equality, diversity, inclusion, obviously, health and safety, employee growth and development, respect of fundamental social values, one of this objective is that 40% of women on the executive management committees by 2027 at JCDecaux, versus 33 in 2021. 53:28 Conduct business also in an exemplary manner, relationship with our suppliers and the protection of personal data must obviously do objectives, because JCDecaux reached 850 million people every day around the world. We want to take advantage of the power of our media to accelerate the transition by making the virtual life science of tomorrow more desirable. Our media is a showcase for more responsible world in tomorrow and 2030 strategy will continue to serve this ambition and its purpose. 54:14 Now as a conclusion for this 2021 financial presentation, annual presentation, I would like to highlight the following items. First of all, and it has been said by Jean-Francois and by David, I think we have shown you the tremendous resilience of our financial structure and business model in a very difficult time. The strong rebound now is coming of revenues despite mobility restriction, including a strong trading momentum in Q4 2021 has been experienced. 54:52 Two, a strong operating leverage with the positive operating margin and free cash flows throughout the COVID crisis and a decreasing net financial debt. Finally, ongoing actions and commitment to adjust our structure reduce our CapEx and preserve our cash, including our proposal at AGM in May, not to pay dividends in 2022. Our ongoing investments for profitable growth with the rollout of our digital inventory in premium locations. It is something very important to us and we'll continue to do so. 55:33 For our programmatic trading platform, the continuous upgrade and launch in new geographies is a priority. Our commitment to data driven trading reinforced by JCDecaux data solution launch and also our strong organic growth opportunities through tenders continues to be one of our driving force. Finally, our leadership position, our clear ESG pragmatical roadmap, our entrepreneurial and innovative spirit of digital strategy make us the best position OOH global company to benefit from this recovery. 56:17 Last, but not least, we would like to give you our outlook for Q1 2022. As far as Q1 2022 is concerned and despite the current environment, we expect our organic revenue growth of above plus 40% driven by Europe, UK, U.S., rest of the world, while Asia-Pacific revenue growth is lower, due to ongoing mobility restriction. Our digital revenue growth continues to be very strong while analog growth remains robust. 56:54 I would like to thank you for your attentions and we are obviously and now ready to take your questions.
Operator: 57:05 [Operator Instructions] We have one question from Richard Eary from UBS. Please go ahead, sir.
Richard Eary: 57:33 Yeah. Good afternoon. Three questions from myself actually. Just -- the first one just comes to guidance. You said Q1 above 40% I mean, based on what you previously combined in the last two quarters. You've obviously significantly exceeded your guidance. I'm just trying to look at how conservative that guidance is partly because when you look at relative to 2019 it would suggest that there would be a sequential slowdown relative to the key stack rate from the fourth quarter and the third quarter? That's the first question. 58:11 The second question is just we've obviously seen positive improvements in cash flow helped by lower CapEx and positive working capital over the last couple of years. I'm just wondering as we get back into a normal normalized environment this year and next year whether we can start to think about CapEx returning back sort of 2019 in pre-levels and obviously the reversal of the working capital gains? That's the second question. 58:37 And then just the third question just goes on in terms actually rental expenses obviously, we talked about in the presentation of just above 5% lower than revenue growth. How do we think about that as we come out of COVID and therefore whether property units are continue to be supporting whether those cost savings are perpetual or whether you have to give those back as markets improve?
Jean-Charles Decaux: 59:04 Thank you. I will take the first question. Jean-Francois Decaux, and then David will take the second and the third one. In terms of guidance for Q1, first of all, you have to remember that back in Q1 2019, we had the large and airport advertising contract for the New York Airports. So, obviously, the scope is not quite the same. That's point number one. And point number two, we've restrictions -- lockdown restrictions in Asia-Pacific going back and forth. It's very difficult to compare to 2019 where they’re were obviously no restrictions whatsoever. Hong Kong for instance, we had a very good January and then with the new restrictions being put in place, February and March are much more difficult, after a tremendous January. So that's why I wouldn't compare necessary everything line by line. The bottom line is that we see a sequential improvement and all of a sudden with restrictions being put in place by countries, which are still kind of implementing zero COVID policy, not quite as strong as it was maybe at the beginning, but still in Asia Pacific. I mean, New Zealand, for instance, is still in lockdown just small market, Hong Kong is much bigger market, and all this is in Asia-Pacific and that's why I wouldn't quantify the guidance as kind of a slowdown versus the good momentum. The momentum continues to be very strong.
David Bourg: 60:45 Regarding the CapEx and working capital, coming back to a normal level, first on, CapEx. At some point we will come back to a more normal level of CapEx and it will be good news as it will be -- as we have always been very selective, mainly CapEx for growth. It is true to say that over the last two years, we have tried to the sale everything we can in terms of CapEx and in line and in perfect to coordination with our landlord. As you have seen in 2021, we have an increase in our renewal CapEx, because we decided to know our commitment, which was not the case in 2020, where we -- in agreement with our landlord we, as I say postponed some of the CapEx. 61:51 And now if we want to accelerate our digital transformation, if we want to size, good internally growth opportunity, we will have to invest more for future rules and for sustainable and future profitability. So, at some point, we should come back to CapEx to sell at the level pre-COVID and even more, if we have some opportunity that we think will help us to increase our profitability. As mentioned by Jean-Francois, we were awarded the concession agreement for the five new lines in Shanghai Metro, the 13 existing lines that we are currently operating is under new road. And if we succeed to secure this contract, there will be a significant digitalization to come, and I think it will be good news for our future development, future revenue growth in China and for the group. 63:11 Regarding working capital, we have taken some measures. We have always been very strict on the working capital management, but we took certain specific measures in 2020 and 2021, adding us to data cash correction, supplier payments and inventory management and I hope this will benefit to our working capital requirements when we will be back to normalize lines the level of activity. But at some point, it will come back in line and progressively with increase of the top line, which will be good news, hopefully at a lower level due towards usual that we implemented over the last two years. 64:01 Regarding the rents and fees, what we got -- we had a very strong relationships with our landlord and partner out of those world to grow to significant rebates over the last two years, with notification, no significant litigation and at some point, when the revenue will go back to normal, our rented commitment will return to more normalized level and come back to the level pre-COVID. So, we could expect to lever our rents and fees increasing in line with revenue growth more or less in the next 24 months.
Richard Eary: 64:53 Great. Many thanks.
Operator: 65:06 [Operator Instructions] We have another question coming from Lisa Yang from Goldman Sachs. Please go ahead.
Lisa Yang: 65:22 Good afternoon. Thanks for taking my question. Just a follow-up on Richard’s question around the working capital reversal and obviously, CapEx ramping up. Do you think your free cash flow could be positive in 2022 because obviously you've seen significant a positive free cash for the last two years? I'm just wondering given all the headwind, you think that could be positive this year next year? 65:47 The second question, the dividend, could you maybe just give us a bit more color in terms of why you would not want to pay dividend for 2022 given obviously the strong guidance of Q1, obviously, you generate quite a nice EBITDA improvement last year. Is it because you want to add people more, you're capital towards M&A? Or you're just trying to be conservative given the recent geopolitical events? 66:16 And finally, just wondering obviously given what's going on in Russia, Ukraine, like what could be the direct or indirect impact for the Group? Do you have any sort of meaningful exposure to things like is to Europe or Russia, I mean anything -- any call would be helpful? And the last thing is on M&A, obviously, the number of players who are running so strategic reviews at the moment, which markets will be more interesting for you? Is it still U.S. or you think Europe could make more sense given the synergy or the UK given higher digital penetration? So any color on that would be helpful as well? Thanks for answering the question.
Jean-Francois Decaux: 66:59 Thank you, Lisa. David will reply to your question on cash flow. Jean-Charles will take the second and the fourth on dividend and M&A, and I will take the third question about the impact of what is going on right now in Ukraine.
David Bourg: 67:14 Thank you for your question. Regarding free cash flow as you know, we do not provide any guidance for the year to come. Our funds from operation before working capital and CapEx will improve with any doubt in line with increase in the operating margin and benefiting from our operating. Now regarding CapEx and what can capital will really depend on the rebound and it’s very difficult to forecast. In any case, it will be good news CapEx, it will be a decision and a strong willingness to increase our business. So, as you know, we have been very selective as I said before, and it will be for profitable growth and future revenue cash generation I should say. Regarding working capital again, it will really depend on the intensity of the rebound. So, no crystal ball for the moment, but we will continue to manage it according to the evolution of the situation.
Jean-Charles Decaux: 68:26 Yes. On the second question, Lisa, on the M&A and linked to the fourth questions which is obviously an important questions for sizing the -- not only opportunities, but also the ongoing potential consolidation on the sector. I mean, our strategy, I think is very comprehensive. So far, we have been able to develop basically our group and to reach our leadership both not only in terms of revenues -- in revenue terms, but more importantly, in terms of quality of assets around the different markets where we operate through mainly organic growth wins and regional platforms or local by in different countries. 69:20 I just would like to remind you that we have been to implement basically JCDecaux in markets where, no foreign company have been able to develop and we have been able to do it in a very profitable way, long term contracts, very good high talented people here in Germany, China, Japan, Latin America and we have been able to do so. So, we like obviously M&A, which are really accretive to our businesses on the long term basis. Sometimes it could be more spectaculars to do some bigger move on the short term basis, but we have seen those in the past and I don't think that sometimes they are really creating value over the use in our industry, I talk about our industry at the moment. 70:11 So you should continue to see us as Jean-Francois who highlighted at this morning on the channel, Global channels to say, yes, we are looking at opportunities. We see local competitors in some markets in difficulties, obviously, after what happens because not all the market has responded like the European market. So, you see certain needs and opportunities coming over potentially at the local or regional level. And as we know our industry, even though we are the market leader, the 15 top players only represent 45% of a growing industry especially on the digital side. So, you will see more consolidation going forward, but more likely local or regional. 71:02 Now -- and the dividend is not really related to this because what we want to do is after such a very difficult period of time, we want to obviously not only keep our financial flexibility, but we also want to keep our room to maneuver. And for us, to keep the entrepreneurial spirit of the company, the capability to obviously accelerate the digitalization, continue to invest in the new programmatic channels, we need to have some room to maneuver because we need to continue to do that and potentially to do some local and regional M&A, and the three are important. You have to invest in the hardware, you have to basically further invest in your sales intelligence and sales marketing channels, and you have to finally take the opportunities when they are coming up to the market. 71:58 Interestingly enough, you see as you said, Lisa in your questions, few players in Europe, mainly in Europe at the moment, finally, doing some strategic review, some of them for the second of third time. And so, I think it's interesting because the clock is ticking for further consolidation in different markets and Europe is one of them at the moment. I think some people also are taking a more realistic approach. And so I think it will rationalize over the years, whoever is the buyer, I think it will further rationalize the industry, which is a good news for the outdoor industry because to have a bit of more rational in the industry, it's always good. And I think that’s the change of players in some markets will be accretive to our industry. 72:51 So although dividend policy is not really linked to the potential acquisition is more comprehensive to further strengthen our capacity to continue our investment in digital and in our platform and take advantage of the M&A opportunities. And finally, in the U.S., I will not speculate on what could happen in the U.S. You know that this industry obviously will further consolidate at some point on both sides of the Atlantic, it's inevitable for different reasons. I think it is -- the major win trend is for further consolidation. You need to be bigger and bigger to further invest in technology, further invest in data, further invest in R&D, and I think this is important. So that's long an answer of to your questions, but I think the most honest one as we speak.
Jean-Francois Decaux: 73:56 Regarding the carrying conflict war between Ukraine and Russia, our exposure to the region called is Europe, reduced significantly in 2020, when we took the decision to exit Russia, and sold our 25% stake in what was the largest outdoor advertising company in Russia. And today, our exposure to Eastern Europe is around 2.5%, 3% of revenues in countries like the Baltics, Hungary, Slovakia, Czech Republic and little business in Poland. Good businesses, operating profitably all of them. And in Ukraine, our exposure locally is very small. It's a 50-50 joint venture, which we created in 2006, which did pre-COVID at 100% 11 million and post-COVID around 6.5 million of sales of revenues, but we only take 50% of that and given the structure of the joint venture.
Lisa Yang: 75:13 Thanks very much Can I just follow-up. So when do you think you will be in a position to raising the dividend like what needs to happen for you to reinstate that? And the second question you talk about investments, obviously that's CapEx, if you are winning new contracts, but also wondering as you are trying to push your programmatic effort, as we see now at ITV (ph) last week obviously announcing more, I’d say, ambitious investment do you feel this is something that you need to continue doing it to invest more behind you and maybe some of the other initiatives?
Jean-Francois Decaux: 75:49 We are monitoring the space, as you can imagine being the first outdoor advertising company to launch such a trading platform. Our competitors are trading and programmatically on third-party and platforms. And it's fair to say that Lamar, which is the most profitable Billboard company in the U.S. recently announced the purchase of a 30% stake in Vista (ph), which is a competing SSP platform to VIOOH. So it's quite an interesting move. And so, we want to keep our firepower dry. And for organic growth, for potential bolt-on M&A acquisitions, for expanding also and data in programmatic. And so that's why we decided not to pay a dividend. We will propose to the AGM and may not to pay a dividends for 2021. And we will review the situation as the year evolves. We expect again some local players to come up for sale. We want to speed up the -- when you look at the increase of digital revenues in Q4. And again, in Q1, you will see when we publish Q1. It's very strong. So there is room for more digitization. We want to accelerate the digitalization. 77:28 And David highlighted that, as if we renew our existing subway advertising concession agreement with Shanghai Subway, we've won the five new lines. We are currently in tender process for the existing business, it will be a significant CapEx. So if you combine all of this given that we are growth media company, and I think we are -- it's a wide decision for the time being to preserve the cash and not to distribute the dividends bearing in mind that not distributing a dividend is also hurting the family because we have a 66% stake in the company. So I think we put the company first and the company is again facing potential consolidation moves, not talking about the big ones, of course, because that wouldn't not paying a dividend would move the needle of any potential major acquisition that it's about the -- remember in 2020 in China, we did an important move for Chinese business, when we acquired a significant stake in Clear Media, which was on previously by Clear Channel. And so, and that we didn't expect Clear Media to come in for sale. So that's why we want to be on the safe side and preserve the cash for things which might happen and will happen in this industry in the near future.
Lisa Yang: 79:00 Okay. Thanks. And a very quick follow-up. Obviously, your EBITDA level is not back to 2019 level yet. So, I'm just wondering how the ratings agency will look at it -- was thinking about the maximum leverage you could take it in case if you want to do any M&A? What's debt that you'll be comfortable with?
Jean-Francois Decaux: 79:19 David?
David Bourg: 79:22 Yes. Lisa it will depend. It will depend, we will -- other day mentioned, we have a frequent dialogue with the rating agency and according to the target, I think the leverage could be quite different or this is something if it happens or there is the opportunity, we will obviously have a discussion at that moment with the agency, but in our business, we know that it is quite important to go back to a financial leverage at about 3 to 3.5 times when you do an acquisition. So if we do an acquisition where we should go both this ratio, the most important and what we will have the discussion, we will have with the rating agencies how long it will take us to come back to this level. And that's why it's not a straightforward answer because this is more or less at our credit rating today, where we should stand around 3.5 times. Now we can go above provided that we will be in a position to demonstrate that we will go back to this kind of leverage level quite quickly within 18 to 24 months. So, this is what I can tell you Lisa on your question.
Lisa Yang: 80:56 Thank you. Thank you very much.
Jean-Charles Decaux: 81:00 And Lisa, just a quick comment on your last report, where you highlighted the risk of our audiences declining in big cities because of work from home. So far, we don't -- we haven't seen the impact as you know, London was not a lockdown, but Johnson Government mandated people to work from home in Q4. And our Street Furniture business was up quite significantly. So far, we haven't seen any major impact from the work from home, in terms of coming back to 2019 or exceeding 2019 revenue levels.
Lisa Yang: 81:40 Okay. Thank you for the clarification. Thank you.
Operator: 81:46 We have another question. Next question comes from Nizla Naizer from Deutsche Bank. Please go ahead.
Nizla Naizer: 81:54 Great. I just have to two question. The first one is on your move to target more digital advertising budgets. Do you sort of advertisers also now asked you to improve the audience measurement because I get online budgets that typically used to being able to calculate their reach quite nicely and with out of home, it's a bit more ambiguous? So just wanted to understand if there's been an improvement in the way you measure your audience as well, when you reach out to these advertisers to target their online budget? That's question one. 82:25 And question two, compared to 2019 are there still sectors that are still recovering in terms of the share of advertising on your platforms. I mean in other words, are there still not your 2019 levels, which has the sector and connected to that mentioned that the online players are advertising more on out of home. These things you have been doing this for a while now. So is it sad to assume that out of homes is a very permanent part to your media mix and will be going forward, just those? Thank you.
Jean-Francois Decaux: 82:56 Okay. Jean-Charles will take your first question. I will take your second one.
Jean-Charles Decaux: 83:00 Yes. In terms of all those measurement, I mean, today, in many countries around the world, all our products are orders measured by the day, by the week. So this is -- our firm has evolved quite significantly. The whole industry has evolved quite significantly over the last ten years. We start to see global apertures just measurements. So yes, our orders measurement are basically comparable to other media sectors in the industry. 83:38 And when you look today at what we are capable to achieve in terms of granularity on those measurement, it goes quite far because thanks to our JCDecaux Data Solution. We are capable to measure not only people, but combine the people shopping in, the nationality of the people, obviously, respecting the GDPR protocol, but it is clear that when you look at the digital revenues going up, you – this is partially thanks also to a much better targeting effect that is coming from orders measurement in campaigns not only in terms of growth audiences, but also in terms of uplift on sales and uplift on drive to web or right to store. 84:37 And this is something obviously that is clearly giving us an age to not only come back into the previous world in 2019, but also giving us some ex-factor onto the revenue generated on our screens or even on our digital screens of sometimes on our analog screen. So, all these measurements is on its way. We are now a great ambition to try to converge the major big markets around the world into one global audience measurement system, via that UK, France, Germany, obviously, China, but also other big markets around the world here Brazil in the emerging market because the one global orders measurement system will be -- we think quite interesting for the all industry and for its credibility and this is something that we are also trying to go into at the moment.
Jean-Francois Decaux: 85:44 Regarding the breakdown of revenues by sectors, which is on Page 9 -- Slide 9. So, all sectors are up now versus 2020 and I'm not going to repeat myself, but compared to 2019, which is your question. Basically, three sectors are up quite significantly, and alcohol is up versus 2019, excluding beers. The government communication, which is understandable given that the UK, Germany and other countries just to name a few, used out of home media, enter division quite extensively to announce their COVID measures. So that was a very -- but didn't exist back in 2019 of a much lower level. 86:43 And also, online retailers, which is classified on the Internet, hence the strong increase of Internet as a category also increased the spend. On the negative side, as you would expect holiday, transport, travel sector decreased quite significantly by about 50%. The other sectors, they are more or less down versus 2019, more or less in line with the total revenue of the group.
Nizla Naizer: 87:21 Thank you. Very helpful.
Operator: 87:25 Thank you. Our next question comes from Richard Eary from UBS. Please go ahead. Richard, please don’t -- unmute -- please unmute your microphone.
Richard Eary: 87:46 Apologies, I was on mute. When you answering Lisa's question about exposure to Russia and Ukraine, that was super helpful. But I'm not sure whether you gave any color where you were seeing any specific impacts on trading as a result of the crisis on those numbers as yet, if any. Just wondering whether you just seen -- where you can touch based on that?
Jean-Francois Decaux: 88:11 With the exception of some small scale cancellations, we haven't seen any impact so far of the conflict between Ukraine and Russia in Q1, and Q2 is early to tell, but no cancellations of significance and the growth momentum continues to be very strong as highlighted in our guidance.
Richard Eary: 88:42 No, that's helpful. Thank you.
Operator: 88:49 We have another question from Annick Maas from BNP. Please go ahead.
Annick Maas: 88:54 Hi. I just have one final follow-up. You've mentioned earlier that you have new clients are mostly the big global advertisers. And what do you think it takes to attract the long tail into that offers? Is it, you know, are we teaching the industry how you can use out of home? Is it more investment in the bigger sales force? If you could just give us your views on how you could attract the long tail via your view offering? Thank you.
Jean-Francois Decaux: 89:24 Yeah. Thank you, Annick for your question. Obviously, this is a big -- another big -- I will say a strategic move. It is clear to say that we attract already the long tail, not as much, obviously as the big digital platforms, but we for either [indiscernible] France 30% -- around 30% of our business is made with local advertisers, EA call the long tail, I think in your words. So, first of all, this is a market that we address today in some key markets around many around Europe, but also in some other region around the world. 90:03 Second, it is clear that if you want to approach and be able to transact with the long tail, you need to clearly automatize and basically trade programmatically and this is something, well, I think the digital platform was -- they were born basically with this programmatic training channel, where as we said this morning in the French call -- in the French presentation, we are adopting now this basically -- this approach for the -- our firm. 90:40 And I think the good news is that, as we said before, we have the potential to really create the long tail. I don't think this is something that could really meaningfully represent something significant before the next two to three to -- two to three years, because you need to really work hard for example in the French contract, we have today obviously a lot of sales people on the ground, and this is also true in other markets in Europe. But it takes also a bit of time, because you need to have the programmatic buying platform, this is done and connected now, and you need to have also the digital inventory that goes with the programmatic platform, and that takes a bit of time to be created. 91:32 But I think there is a strong potential for us to really attract more and more advertisers from the long tail, when it will be meaningful, I think between two to three years, we think we should start seeing more global, more significant numbers in our revenues. But it is fair to say that when you look at the profile of the clients we've got today, as we said also 80% plus roughly 90% of our clients that will have never spent with us without a programmatic buying approach. And this is true for sometimes smaller companies, but not so many, as we just said, and it is more important, it is true also for big corporation, the national corporations or international corporations, that will continue to work with us. But on the other side, they are basically using programmatic buying. 92:35 So we really think and when you talk on [indiscernible] conference, it's easy to say this is new money, but we can clearly say that today, the EUR30 million we are talking about is really new money for us, this is clear. Now, whether it is -- whether that will continue or not, the jury is out, we think that, that will continue, because the potential is really huge. But you need to really set up the infrastructure, which is a platform and then connected to the DSP to be able to do that. The good news is that now everybody is going into the truth, when we started, we were very few, we were the only big -- basically big company, the only one to have our own basically platform, and it looks like now basically some other people are buying into other platforms or in the process to join our platform, no big firms today, but more medium sized or lower sized companies. So, it shows that I think the trend is -- the tailwind is coming from programmatic for OOH and this is only the beginning. 93:49 When you look at the numbers, of some of our computers in the trading platforms they are growing, we are growing very fast, they are growing very fast. And this is good for the industry, because that will create, I mean, much more adoption than were -- if we were just down on ourselves. So that I think that's an important factor for the growth of OOH, and we think that we can reach, certainly, if we succeed in programmatic, this industry can become a double-digit industry worldwide. We are 7%. We are not pleased to be at 7%. We are 10% globally speaking, if you take outside the U.S., which are at 4%, but Japan, China, the big emerging markets, most of them are around 10% between 8%, 9%, 10%. And France is at -- above 10% it is clear that Germany is growing, it was at 4%, six or seven years ago, it's now almost at 7% and still ramping up. So that's good news the UK is also growing obviously. So, I think programmatic is just an upside for the industry. Now to quantify it, it's still early days.
Annick Maas: 95:05 Okay. Thank you very much.
Operator: 95:11 Thank you. [Operator Instructions]
Jean-Francois Decaux: 95:25 If there are no more questions, just a short note on my side. We will resume physical roadshows, not everywhere depends on investor demand. But we look forward to seeing you physically, which hasn't happened for most of our investors for the last two years, and we really look forward to that. And then stay safe and well, and see you again soon. Bye-bye, everyone.
Operator: 95:59 Ladies and gentlemen, this concludes today's conference. Thank you all for your participation. You may now disconnect.